Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Navigator Holdings Conference Call on the Second Quarter 2015 Financial Results. We have with us Mr. David Butters, Chairman, President and Chief Executive Officer; Mr. Niall Nolan, Chief Financial Officer; Mr. Oeyvind Lindeman, Chief Commercial Officer and Mr. Paul Flaherty, Director of Fleet and Technical Operations of the Company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that, this conference is being recorded today. And I now pass the floor to one of your speakers, Mr. Butters. Please go ahead sir.
David Butters: Thank you, Lawrence and good morning, everyone and welcome to Navigator Holding's second quarter earnings conference call. As Lawrence mentioned, with me today in London will be Niall Nolan our CFO, Oeyvind Lindeman, Navigator's Chief Commercial Officer and Paul Flaherty is also with us, Director of Fleet and Technical Operations. Now in a moment, Niall will cover the details of the results of Navigator's reasonably successful quarter. But overall, revenues were up operating income gain nicely and are $0.47 per share of diluted earnings, represented a healthy 30% gain over the comparable period a year ago. Our immediate outlook would suggest the continuation of this trend for the remainder of the year. Albeit, the current quarter will be handicapped by the loss of the Navigator Aries in an accident and the sale of the Navigator Mariner. That brings us up two recent events, worthy of highlighting. First of course is the June 28, when Navigator Aries was involved in a collision following its discharge in an Indonesian port. The Aries, as you may recall was on a long-term charter with Pertamina. After existing the port and on her way to the open sea, a passing container ship, the Leo Perdana made an abrupt sharp turn driving her bow into the side of our vessel. The force of the contact, cut into the Aries hull and opened a hole in one of the cargo tanks. A fire lasting over three hours, was put out by the crew and firefighter tugs. We were thankful that no crew member on either vessel was seriously injured and fully appreciate the skill and bravery of our officers and crew on the Aries. Shipping is dangerous profession, and we should never forget that. The vessel is currently in Singapore drydock undergoing repairs. Nearly all of the repair should be covered by insurance proceeds, although, we will lose the charter hiring during this period. We will of course pursue claims against the Leo Perdana for the lost revenue, but there is no guarantee that we will be successful. The second event worth noting, occurred just yesterday, when we closed on the sale of the Navigator Mariner for just under $33 million cash. The Mariner was one of the older vessels acquired from A.P. Møller, a few years ago. We generated excellent cash returns, since we acquired that vessel. But since we will be getting delivery of two similar size newbuilds over the next couple of months, we thought it prudent to make the sale. The new vessels will be higher spec and Eco-design and as you may recall, these new semi-refrigerated vessels have a contract price of around $44 million. I personally think, this was a good trade and reflects our commitment to maintain a high quality technically advance fleet, while always focusing on capital management and a strong balance sheet. It is your capital, we are managing. Before passing the call over to Niall, it would be appropriate to mention the status of the US's [ph] ethane exports. We have no definitive projects to discuss this morning, other than to say we continue to have discussions surrounding the long-term use of the 35,000 cubic meter ethane carriers under construction. Our first ethane carrier is expected to be delivered about a 1-year from now and will immediately go on a 10-year contract, Borealis. The use of remaining 3 years under discussion with several charterers. On paper, ethane exports from the US to various global uses continues to make economic sense. The issue of course is the uncertainty created by crude oil price volatility. We continue to believe that we will see US ethane exports in trade develop, but we will need some degree of stability in crude pricing before long-term commitments can be made. Again and as a reminder these 35,000 cubic meter vessels are highly versatile and sophisticated carriers of petrochemical gases and if we have them today, we are confident they will be fully employed in the spot market at attractive rates. Now I'll ask Niall to run us through the quarterly numbers.
Niall Nolan: Thank you, David and good morning. Navigator generates the net income of $26.3 million for the three months ended June 30, 2015. Which was a record performance for the company and gave rise to an earnings per share of $0.48 for the quarter or $0.47 on a fully diluted basis? This is the sixth quarterly increase in EPS since our IPO in November, 2013. Revenue too was a record for the quarter at $84.1 million positively [ph] reflecting an increase in the number of vessels operated during the quarter, but also as a result of improved charter rates. The operating revenue for the most recent quarter of $84.1 million reflected a 10.6% increase from the $76 million generated during the second quarter of 2014 and also a significant 13.3% increase from the $74.2 million generated during the last quarter Q1, 2015. And increased fleet rise compared to the second quarter of last year gave rise to an uplift in revenue of $9.2 million, with 28 vessels owned and operated during the three months ended June 30, 2015 compared to 24 vessels traded during the second quarter of 2014. In addition, revenue for the most recent quarter increased by a $1 million from an improvement of charter rates, which rose to an average of $930,000 per month or $30,600 per day in the three months ended June 30, 2015, from an average of $918,000 per month or $30,200 per day for the comparative three months in 2014. The utilization rate across the 28 vessels during the second quarter was 97.7% reflecting consistent strong demand for our handysized vessels in the transportation of LPG and petrochemicals. On April 27, we took delivery of Navigator Umbrio, a semi-ref ethylene carrier, the fifth in the series taking our fleet size to 28 vessels at June 30, 2015. We have two further semi-ref deliveries scheduled for later this year. The first in the couple of weeks’ time and the second in October. As David has just mentioned, we completed on the sale of Navigator Mariner yesterday, one of our older semi-ref vessels, it was sold for $32.6 million, which will generate a book profit of approximately $600,000. $7.3 million of those the proceeds was used to repay part of the bank loan associated with that vessel. We purchased Navigator Mariner from A.P. Møller Maersk in September 2013 and since that time we have generated $12.1 million of EBITDA in trading that vessel. The average age of our vessels at June 30, if you exclude the Navigator Mariner was 6.5 years old. Navigator Aries, which is on time charter with Pertamina in Indonesia was involved in the collision as David mentioned with a third party vessel on June 28 and as a constance [ph] the vessel had to go to dock in Singapore for repairs. Although, the duration of these repairs is currently unclear. The lost revenue for Pertamina throughout the third quarter may not be recoverable. Our newbuild program consisted of 10 vessels, six semi-refrigerated handysized vessels. Two of which are scheduled for delivery this year. As I've just mentioned two next year in 2016 and two in the early part of 2017. And additionally, we are constructing four 35,000 cubic meter ethane/ethylene carriers due for delivery in 2016 from the second quarter. Two vessels undertook schedule drydocking during the second quarter for their 15th year dockings. Five further vessels are scheduled to drydock before the end of this year, at a total expected cost of $6.1 million. There have been six vessel scheduled for docking in 2016 at an expected cost of $5.5 million and in 2017, where we've got a slighter reprieve only one vessel is scheduled for docking, at an expected cost of approximately $800,000. As I mentioned previously, the cost of dockings are capitalized and amortized over the period until the next docking. But of course, we do not earn any revenue for the 20 to 30 days, while each vessel is in-dock or is sailing into or away from the dockyard. With respect to costs, voyage expenses decreased by approximately $1 million, although the number in duration of voyage charters were consistent with the second quarter of 2014. This reduction was predominantly as a consequence of the decline in bunker fuel costs. Vessel operating expenses those are, that are crew cost, repairs and maintenance, insurance, etc. increased 8.5% to $19.3 million for the three months ended June 30, 2015 compared to the same period last year. As a number of vessels in our fleet increased by 15% over that same period. Our average daily operating expenses across the fleet decreased by 9.4% to $7,670 per day for the three months ended June 30, 2015 compared to $8,470 per day for the three months ended June 30, 2014. Interest cost for the three months ended June 30 were $8.1 million up by $300,000 compared to the same period in 2014, as a result of additional bank loans associated with the five vessel deliveries we've taken over the past 12 months. And as I've mentioned at the outset, net income for the three months ended June 30, 2015 rose by 33.8% to a record $26.3 million against $19.7 million for the three months of last year. And result in EPS was $0.48 this year compared to $0.36 for the second quarter of 2014. EBITDA too for the second quarter rose by over 23% to $47.7 million compared to $38.7 million for the three months ended June 30, 2014. The company continues to maintain a strong balance with cash standing at $66.2 million at June 30, 2015 total debt at that time was $607 million. Following the sale of the Navigator Mariner yesterday on a pro-forma basis cash at June 30, would have been $91 million. Debt reduced by $7 million to $600 million and book equity would be $600,000 higher at $856 million. During the second quarter, we made payments of approximately $68 million to the shipyards for the delivery of the Navigator Umbrio and instalments on three other vessels. As of June 30, 2015 the total spending [ph] amounts committed to the shipyards was $444 million payable between now and the first quarter, the end of the first quarter of 2017. A $278 million bank [indiscernible] was put in place earlier this year, which includes the financing of the net four vessel deliveries between this month August and April of next year and we continue to see significant interest from banks to finance our remaining six new buildings. We will be putting finance in place for those six vessels over the course of the coming months. And with that, I'll hand you over to Oeyvind.
Oeyvind Lindeman: Thank you, Niall. As you've seen and heard, we completed our strong track record of high utilization and earnings during the quarter. Our fleet transported a total of 1.25 million tons of LPG, 145,000 tons of ammonia and 58,000 tons of petrochemical gases across the 28 vessels. At the end of the quarter, 17 of the ships were trading under-term contracts and 11 were trading in the spot market. The lack of vessels were concluded for 22 voyage charters where half of these were schedule to load from US ports. Of interest, a couple of trends have manifested themselves during the quarter, which are worth mentioning. First US LPG inventories was steadily increasing during the three months reflecting America's increasing surplus of propane and butane. At quarter end, the inventories reached an all-time high of 80 million barrels, a 30% increase over the 5-year average of 60 million barrels. Historically, the LPG build up is steady during the summer month and peaks just prior winter. However this year, the inventory build-up has broken new grounds with no easing in sight and we're only in the middle of summer and still several months to go, before winter kicks in. We all know that US is low on LPG, but this is just another indicator LPG exports America is here to stay. Second, during the last earnings call, we mentioned attractiveness of US-produced ethylene to international buyers. Ethylene has continuously been exported mainly on handysized ethylene gas carriers, since the beginning of this year and we're expected to carry on into the third quarter. Essentially adding some miles to our segment, as to receiving customers are located pretty far away in Europe and Asia, so the voyages are long. In parallel, US-produced propylene surfaced on export market this April and as to-date with resulted in 15 export listings [ph] from the US basis 46,000 tons parcel prices on smaller 8,000 to 10,000 cubic meter gas carriers. Generally, once the market is established, we tend to size grip in terms of competition. And therefore, we expect the portion of these done to be moved from handysized vessels in the near future. Both these developments of ethylene and propylene production on the back of multibillion investment in US chemical infrastructure, a part of change is taking place in America, which Navigator is and will benefit from. New markets and trade patterns are emerging for the petrochemical trades and we're excited to be able to further develop and capitalize on these changes. Thank you.
David Butters: And Lawrence, we can begin our question-and-answer session now.
Operator: [Operator Instructions] and your first question today comes from the line of Jon Chappell of Evercore ISI. Please ask your question.
Jon Chappell: Couple of strategy questions for you and then I'll have a final market one for Oeyvind. First on a strategy in regards to the sale to Mariner. I also saw in one of the shipping newspaper, that there may be another older vessel up for sale. I know you can't comment on that specifically, but seeing as how you have one, 1988 carrier and five other, 2000 build carriers. How do you think about taking advantage of that trade opportunity that you spoke about earlier as the newbuilds deliver?
David Butters: Well sure, Jonathan. Our basically philosophy is that, we are managers of capital and the capital that we happen to be in charge of happens to be vessels deal in this case, that float on the water. The Mariner afforded us an opportunity to sell her with one of the oldest of the A.P. Møller vessels. Yet similar, but more efficient better design, more eco-friendly, vessels coming add us, in the next couple of months at very good prices. We decided to move that and make the sale particularly since that vessel was going to go into the Indonesian waters replacing an existing vessel that was being scrapped by a competitor of us, who is also the buyer on the Mariner. So we took a vessel out on the market, and vessel that we earned substantial cash over the short period that we owned it. Sold at nearly the price that we are going to replace her with a brand new better vessel and that seem to me, to be a good trade. I do that on a regular basis and it upgrades our fleet. Now we do have another vessel, a 1988 vessel on that we also acquired from the A.P. Møller fleet. We have no current intentions to sell her, but should a similar type of opportunity come up I think, we would consider it. We don't need the cash, we have as Niall pointed out pro-forma now. We have over $90 million of cash, bank debt that's been going down. But should something come up, good opportunity that gives us the kind of returns that we can get with our existing fleet and then kind of new vessels that having on us, we'll do that. We're active managers of your money and we will continue to do that, hopefully on an intelligent basis and a profitable one.
Jon Chappell: Makes sense. Unfortunately not my money, but I get your point. The other question, I want to ask about strategy was just the time charter versus spot mix. I think the last time we got probably a very detailed fleet update as far as duration of contracts were probably around the time of the IPO and as I look at my model, there is a lot of early 2015 exploration. So is there a lot of rolling over of these lease and explorations under 1-year or shorter term time charters. How does the mix look today and then a second part to that question. What's the spread look like, we kind of get a good idea for what the "spot market" is it is from ship brokers. But how do the time charter rates compared to the spot market rates in the semi-ref business today.
David Butters: Yes, I'll let Oeyvind cover that question, Jon.
Oeyvind Lindeman: Hi, Jon. It's a good question. It's a moving target in terms of our view on the coverage. But to the first question, our segment handysized gas carriers typically on the time charter, they based on our 12-month time charter and that's kind of rolls over from year-to-year. So it's 12-month duration and that's the standard. Right now, as you heard 17 are on terms, 11 on spot, but that changes from month-to-month. But we would like to historically and our strategies to be within the 50%, 60% kind of bandwidth in terms of coverage. Time charter today, if you read Clarksons 12-month time charter assessment that about $1 million per month and spot markets in the Atlantic is higher than that. It very much depends where the ship comes from and so forth to give you an accurate [indiscernible]. But in the Atlantic basis, it's higher than the time charter, right now.
Jon Chappell: Understood and Oeyvind, since you have you, for just my last question. In the past, I think in the prepared remarks there is been some commentary around this. But just to be perfectly clear. The rates that we see in those broker reports, $1 million that you talked about have been incredibly steady over the last 12 months to 18 months. In the meantime, obviously the oil price is been incredibly volatile and mostly down. It seems that in vacuums of information your stock tends to be far more correlated to oil prices than it is to the actual underlying rates, that your business earns. So can you just speak to just for a couple of minutes, how the business is impacted directly or indirectly by oil prices or how it isn't?
David Butters: I'll take that and Oeyvind will lend some color if necessary here. I think by now I first began discussing the immunity of oil pricing on our business back last November, December. Discussing the fact that LPGs are printing much of a byproduct and as long as the byproducts of some of the activity and as provided, do you have the infrastructure, the pipes, the terminal, storage facilities and the vessels. The product will flow from the source because what will be adjusting is the price of the commodity; propane, butane. And I think by now, after six, seven, eight months of operations and seeing the utilization and increased profitability. I think that, thesis that we held out, has some facility clear validity of that we're basically immune but I want to add one other thing. Yes, we are immune to it, but more importantly too, is that we've seen that we're actually a beneficiary of a lower price of oil in preferred sort of way. As a price of the oil has come down, the propane's and the butane's all LPGs have come down in price as well. As a result, we are opening international markets for the US LPGs that we had never seen before, people who are buying it in international markets to replace locally or domestically produced LPG or raw material sourced from crude oil. Those markets once they open, once you've established trade routes and relationships and they tend to stay open. So it's creating a natural beneficiary the low price of oil and it's not a negative. It may be a negative for any one trading day as a trader doesn't seem to be able to make an arbitrage connection. But we have clearly witnessed now over a long period of time and quite a bit of volatility in crude, that we continue to run almost full out with good rates, great profitability and I don't expect to have any change and I'm delighted the thing, as a result of the lower pricing, we're actually opening brand new markets on a global basis that heretofore the United States export market hasn't experienced. And Oeyvind, any other comment on that? That's about it, Jonathan.
Jon Chappell: All right, thank you. David. Thanks, Oeyvind.
Operator: Thank you. Your next question today comes from the line of Doug Mavrinac of Jefferies. Please ask your question.
Doug Mavrinac: I just had a few follow ups and the first one has to do with. I think the theme of the final question from Jon and that is, when you look at oil prices, clearly what's been affecting oil prices is increasing Middle East production level. And so my question is, Oeywind and we've all been so focused on US production, US exports to liquids. But over the last couple of months, Middle East producers have been really ramping up the production of crude oil. So my question is, have we seen an increase in liquids production as well and how's - have you seen an increase in availability of exports and how - has that dynamic changing potentially affecting the LPG export market?
Oeyvind Lindeman: Well particularly in Middle East, we have not seen much change over the quarter, whether it's negative or positive in terms of LPG production. Right now from the Middle East, we tend to petrochemicals. The local produced petrochemical there comes from generally LPG and ethane preferably below from. So I can't really say whether there has big impact. However, the thesis is of course, if you produce more crude oil compared to LPG and therefore you should have more available bright spots, but, yes we haven't seen any change.
Doug Mavrinac: So I mean, it makes sense that we may eventually, but it might just be too soon to have seen it just yet?
Oeyvind Lindeman: That's right, I mean the Indian market which is close to the Middle East that imports a lot of LPG from Middle East. We've seen a ramp up of growth from the Indians for imports and that must be a sign of it.
Doug Mavrinac: Got you and then just maybe as a follow-up on the base business itself. Charter rights have been remarkably consistent, the per day cost have been remarkably consistent. So my only question is for the balance of this year. Are you guys able to provide some guidance as far as off hire time or drydocking days for some of your vessels and obviously the one you said, that had services going to be up. Are there any other drydocking days that we should we aware of?
Oeyvind Lindeman: No, I mean - we're, as I said we have got five vessels till to go into drydock this year and that's about 20 days to 30 days each. Other than that, we don't, we're not expecting any particular downtime saved of course for the areas which we've discussed before. But no everything else we're expecting utilization to be pretty much as it has been last 10 years.
Doug Mavrinac: Perfect, thank you now. And then just final question, David. At the very top you mentioned, the ethane export opportunity of the US. Clearly there is a lot of volatility in crude, but my question is and I think I know the answer but I just wanted to be clear, that even though we've seen volatility in crude prices and it may have delayed the long-term supply contracts between exporter and importer, the stuff is still coming, right? And even if it's we don't see a much of progress in terms of supply contracts. As long as this is coming, it will have to be moved and maybe it's more spot versus time charter but people shouldn't assume that there is going to be no work for these vessels, there will be work, correct?
David Butters: Well first of all, ethane will come. You can talk to friends at enterprise or talk to other friends in Sunoco and the massive build out on their facility at Marcus Hook for example to accommodate increases in ethane exports. It will happen and we fully expect that we will find our way into some of that business, it will be long-term and profitable. My point about our 35,000 cubic meter vessels is that, I would love to have those vessels unchartered in our hands today. If we had those, we would make great money. We'd make great money, by hauling just the ordinary LPGs. But we are now also experiencing good contracts for moving ethylene. Modest amounts at the moment because the major expansion of ethylene capability in the Gulf Coast area is yet to begin and that won't begin until mid-2017 and 2018, but there is going to be significant amount of ethylene. Ethylene is now going to the Far East and to Europe in both 17,000 cubic meter vessel. Those are very small handysized and they're going on our vessels 21,000, 22,000 cubic meter. The economics, the input on a 35,000 cubic meter ethylene are dramatic so and as Oeyvind pointed out, there is always a size creep and that's happening for petrochemical gases. So, if it's I'd love to have those vessels in our possession today. But I believe strongly that we will be drawn into long-term contracts very likely on that same projects sometime over the next 12 months and I think, we just have to wait and be patient. We are and we're not concerned whatsoever.
Doug Mavrinac: Right, fantastic. Thanks David, Oeyvind and thanks, Niall.
Operator: Thank you. Your next question today comes from the line of Ben Nolan of Stifel. Please ask your question.
Ben Nolan: Nice quarter. I have actually several questions, the first has to do with. Well actually, following up on Doug's question just there. You sold some older vessels, ideally would free up some capital. It sounds like the 35,000 cubic meter vessels both potential for ethane, but also a lot of optionality for the petrochemical assets or other things. Is that something especially with a little more capital you might reconsider placing more orders for something like that?
David Butters: We will look at it, I don't like to do really announce what kind of strategy we want to follow them and I apologize for being kind of obtuse in the answer. Look, we're in a position with great cash and great cash flow, this business I think is going to develop very nicely and I wouldn't be surprised, if we did something of that sort. But I kind of feel as though, we should lock in. This is again management of our balance sheet. I would love to lock in long-term contracts on the ethane carriers before committing substantial capital to other projects.
Ben Nolan: Okay, well. Along the same lines actually, I was listening to the enterprise call the other day and they said, that they're making very good progress in getting finalizing their offtake agreements for their big facility in the Gulf Coast. Is it fair to assume on my part that given the state of the oil market right now, more than likely any incremental contracts are going to go Europe rather than Asia or is that not necessarily the case?
David Butters: The world is a big place, there's also Latin America. So you have European definitely, I think we're talking European buyers of ethane and we're talking to Latin American and we're talking to the Far East. So all those geographical areas have different projects of various kind, remember it's just not a petrochemical feed. Also talking about potential power generation for ethane. So there are multi types of projects available all around the globe. The volatility and the price of oil has just made things a little bit slower in terms of being able to commit on long-term because ethane will be committed on the long-term basis unlike some of the other raw materials. I think that, Oeyvind, do you have anything to add to that?
Oeyvind Lindeman: No.
David Butters: So that's really, I think one has to be patient. I don't think anyone is walking away from ethane. And as I said, I'm excited. I remain as fully enthusiastic about the opportunities and the structural change in the global use of US ethane as I did before and I don't feel as though, we are losing out on anything. I mean, I can't point to any project of that we wanted to win that we did not win because it just didn't take place. There has been a bit of a slow start. I mean enterprises still talks about their 80% commitment already on the - that's been the case from now for six months. Yes, so I hope that gives some kind of answer to you.
Ben Nolan: Yes, that's helpful and then just two last quick questions. The Occidental facility in Ingleside, Texas is that now online and am I right in thinking that, that's primarily your vessel sort of targeted your type of vessels are targeted for that facility?
Oeyvind Lindeman: Yes, the terminal is ready to export ambient propane, which obviously hits the spot with the Navigator. However, the lease that Occidental have NuStar the guys who are building the pipeline. They have some two leak in that pipeline NuStar so they need to run a pick through and make sure that everything is fine before they put product through. So if you look up NuStar I think they had a press announcement that the pipeline is ready.
David Butters: What quarter?
Oeyvind Lindeman: Is ready today, but they need to fix it. So product Occidental likely to be starting to export fourth quarter of this year.
Ben Nolan: Okay, that's helpful and then my last question. Has to do with the changes in Iran. If I'm correct, Iran has historically been a decent size export of LPG and then also petrochemical gases. How do you see in easing of sanctions in Iran impacting your market and specifically for your type of ships? Is this is a big deal or maybe not so much?
David Butters: Ben, it could be a fairly significantly deal down the road. As you know, that Iran's major hydrocarbon asset that they have is natural gas. They have excellent largest natural gas resources in the world. Historically, they've developed that gas through developing a very strong and very sophisticated petrochemical manufacturing business. That business is been on kind of hold for the last several years. And as the sanctions had bitten in, they will focus on upgrading those facilities and they're going to focus on the export of petrochemicals as a way of currency. I think, it could be, as important if not more important than, if oil exports. So yes, we're excited about that for obvious reasons. We wish them well. We hope to participate. But I think it's interesting to note that even if the United States were an outlier and did not approve the nuclear agreement that almost every other country will. And therefore the activity of exports given some time now, it takes a little while and six months or a 1-year to get those facilities to be a sufficient, as they're capable of. But as other people do and use their vessels. Even if we and the United States had sanctioned and if, we at Navigator were not allowed to call on their. The absorption of vessels in that trade, would automatically spread through our vessels with enhanced activity and utilization. So I'm particularly pleased with the outcome and look forward to doing some business there, as soon as possible.
Ben Nolan: Okay. Any order of magnitude in terms of how many tons of petrochemicals might be available in the market?
David Butters: No, I don't personally and I don't know if Oeyvind has if its.
Oeyvind Lindeman: Something around, they do export some. Today, ethylene, propylene, butadiene generally to [indiscernible]. So the trade is there today, but I think loosening of sanctions or lifting of sanctions will significantly increase that volume. So any incremental volume in petrochemical exports with sea borne trade has a dramatic impact on freights. Why because the voyages are fairly long.
Ben Nolan: Okay, that's helpful. Thanks guys and again nice quarter.
Operator: Thank you. Your next question this afternoon comes from the line of Omar Nokta of Clarkson Capital. Please ask your question.
Omar Nokta: Just a couple of questions. One just wanted to go back to, ethane charters. The MLPs have been under a significant amount of pressure here that in the past several months and I was thinking for a while, is that Navigator could secure some long-term charters that could be MLP'able [ph]. Has the market weakness change at all your way of thinking? I know it doesn't sounds like it is, but just wanted to maybe ask the question. Do you see yourselves at all maybe abandoning the idea of getting into long-term ethane charters and just focusing on at least currently the more lucrative spot ethylene trade? And the reason and I ask it just real quick, David in the past you've said that you'd be sacrificing returns by going into the long-term ethane charters, but that you would at least have currency for listing. And just kind of wanted to hear, how you view that in this environment?
David Butters: Thank you for the question. Look, I'm not so concerned in creating a financing vehicle for Navigator. I look at it as, does it make good sense to create a flow of income that can be relied on [indiscernible] water for long period of time and attach that to more speculative spot business that we have in our handysized vessel. To me a balance of those two trades, long-term ethane contracts or long-term any kind of contracts, whether they're just being LPGs or propane or in ethane, or in ethylene. Long-term charters of significant size and length. I would like to establish no matter what. I will sacrifice for sure. Short-term income to long-term security, as a way because we have in our handysized fleet. A full exposure to being upside in rates and activity. So I want that balance, but I'm not trying to create an entity simply because of an MLP. MLP maybe on form, it is involved at the moment and it can capture more value at any one instant a time. I'll take a straight deal. I'll be happy with that just in a straight sea corporation. And if we can, if it's make sense to create that stream of income and put into an MLP, we'll consider that. But if I'm not driven by the concept we're trying to create a financing vehicle. I'm concentrating on good business, judgement, security steady, dependable income stream that balances the more volatile spot business of our handy business.
Omar Nokta: Yes, that makes a lot of sense. Thanks for that David. Also just one final question, just on the potential for returning capital to shareholder. Obviously, you're still looking at financing the newbuilds that come on 2016 and 2017. What you're thinking about dividends now especially kind of, with how the stock is active more weak here over the past few months?
David Butters: Well as I say, our principal activity in my end is, managing the capital of the people who've been trusted us with. And right at the moment, we're flush with cash. There are no major projects that are going to fall into place where we're going to be required to fund, that could had changed almost instantly. But at the moment, that's the case. We've come to looking at the program. We have the capital program that will wrap that up within reasonably amount of time with bank financing on very attractive terms, as Niall pointed out. People are aggressively talking to us about funding everything that we have under construction at the moment. Dividends are nice and I think it's one attractive way of compensating people who have entrusted their capital with us. At the moment however, I'm seeing potential opportunities to give us a much better return by using capital in our business. Today, we're earning some over 11% almost 12% on our equity and that equity is being handicapped at the moment with having about $150 million of construction in progress that not only is not earning money, but is actually costing money. So our return on equity is pretty handsome. Incremental price projects are even more interesting and more attractive. So if I can see enough good projects with relatively low risk associated with them given the kind of returns that we're achieving and hope to achieve, then I would use that internally. As soon as I feel that, we have too much capital and it's in prudent to deploy and building more assets. Then I think the dividends become a priority and I think we'll make that decision here over the next 12 months. But I'm not adverse for dividends. I hate to open up the door of dividends because I'll get a call every two months, three months or three weeks. When I'm going to pay a dividend? But we have good opportunities right now. I'm excited about the business. I'm excited about our opportunity and the structural changes taking place in our sector, that give us continuing to give us great opportunity with high rates of returns and as soon as I feel that it's not there, we'll deploy the capital in some other form and return it our shareholders.
Omar Nokta: Okay, that's pretty clear for me. Thanks David. Thanks for the time.
Operator: Thank you and your next question this afternoon comes from the line of Fotis Giannakoulis of Morgan Stanley. Please ask your question.
Fotis Giannakoulis: I want to ask also about the same carriers. Obviously the long-term opportunities still very attractive, but given what is going on the oil and market. Are there any potential discussions about delay of the deliveries of some of the vessels until the conditions are better for long-term contracts?
David Butters: On the contrary, I want it faster. And [indiscernible] we have [indiscernible] is been delaying it. I want them all today. This is a good market. I thought, I just explained we're not impacted lower price of oil. Its good business.
Fotis Giannakoulis: No, I definitely understand that. But I was wondering because of the long-term contract preference.
David Butters: Forgive me, now. That's all I can tell you.
Fotis Giannakoulis: Okay, thank you. David. One last question about the sale and purchase market. Obviously, you have managed to sell this vessel at a very attractive price. But I understand that there might be owners that they might have financial difficulties from other sectors particularly the dry bulk sector. Do you see any opportunities of taking advantage of this weakness that might be in the overall shipping sector and buying some assets at attractive prices right now?
David Butters: Look, I'm not interested in the business of shipping as shipping. I'm interested in the business that's taking place today in the global hydrocarbon space of a structural change taking place particularly in the gas market and especially in the liquid gas market and in the petrochemical gas market. It is a change, a structural change that I've never seen in the past. It is affording us enormous opportunity to invest and create value unlike any time I've ever seen. I have absolutely no interest in moving beyond this little fear that we're dealing with and dealing very successfully in. We dominate it, we have a strong reputation and strong capabilities technical and commercial. We're going to be in that space and exploit it through whatever it's worth. I don't really give a demand of what's happening in the dry bulk. I don't care about the LCC's. I don't care about car carriers. I care about the structural changes and this enormous unique opportunity that we have and that we're exploiting. We were one of the first of the movers in this whole space and we have that advantage of the first mover and we're going to stay in this very specialized business and exploit it to maximum abilities to asking that we have and the capabilities of our talent that we have around this table.
Fotis Giannakoulis: Just to clarify, I'm talking about acquisition of LPG vessels like the one that you have, if there are opportunities to acquiring.
David Butters: There are virtually no opportunities. We have been the consolidator in the LPG space. Particularly the handy semi-refrigerated. The sophisticated part of the LPG space. I've no interest very large gas carriers. I think that's too simple a business. We are in a business that's evolving. Technically is a very difficult business. Commercially it's more challenging, but most challenges and most difficulties give us huge competitive advantage that we're exploiting and exploiting very nicely. We know every vessel that we compete against and with exception of maybe four, five vessels that are operating in the water today. I've absolutely no interest and you can be assured that those four, five vessels. We've already tried to buy it. So no, so I guess you get the idea. We know what we're doing and we know the vessels.
Fotis Giannakoulis: Thank you very much, David. I think that you in the past you had mentioned about other potential LPG related projects like storage and terminals. Is this something under development right now that you can discuss with us?
David Butters: There is no immediate projects, but it is the reason we mentioned it before because I'm talking a business. The LPG business and particularly the complex business that we're dealing with. These structural changes don't just stop with the ships. They flow through whole level of activity that we happen to have little tentacles out and we're dealing with. So that if we see an opportunity for storage or to a shipment, re-gasification or any of these sorts of activities that are related to our principal activity of LPG transportation, we will exploit that because we have a lot of good technical people in our organization that know what's going on. So we would be no adverse to exploring and exploiting those activities, none of which right now are around the table and worthy of discussion. But it's something that we're not afraid of and in fact, we encourage thought process. We pick around various opportunities and try to develop opportunities in that space every day, every week, but nothing at the moment.
Fotis Giannakoulis: Thank you very much for your answers.
David Butters: Okay. So we've time for probably one more question, if it's available.
Operator: Thank you and your next question comes from the line of Michael Webber of Wells Fargo. Please ask your question.
Michael Webber: David, I'll resist to ask you, when you're going to pay a dividend just to get the check log [ph] going for you?
David Butters: Did I have an answer for that?
Michael Webber: You did. I wanted to come back and talk about just the two growth avenues for a second. You talked about, the fact that the stock is not impacted or could potentially benefit from the volatility in crude, but there is an argument you made that what we're saying in the stock is really the market revaluating the risk premium. You want to assign the cash streams in the safe, whether or not they want to apply growth multiples to this phase to the moment. And I guess if I just focused on the two areas of growth and if we're going to get away from the core business, which is been incredibly stable. I think you just mentioned, I think you were kind of talking in quite about storage with Fotis, just a second ago. If I think about the ethane opportunities. Can you get a bit granular in terms of talking about, the tendering activity right now for the assets? How many tenders and are they from single assets or multiple ships? And then.
David Butters: There are no tenders. Basically there are no tenders, Michael. The projects, the people talk about that they sit with us and map out the outline of what they would like to accomplish. Whether they be in terms of petrochemical feedstock, petrochemical plants ethylene or whatever have you or they may be in terms of power generation, which is another very active source and uses of ethane. But nobody does a tender and these things are workable projects. Development projects that a team of people on our side and a team of people on the counterparties trying to work out these types of projects. Nothing is tendered at this time. I mean, that's okay. I mean it's a different sort of thing.
Michael Webber: Yes, maybe it's just a different omen, quite sure. But if I just think about maybe quarter-over-quarter are the odds of these assets go under period ethane contracts. Are they better right now than they were three months ago, the same or worse?
David Butters: I think it's about the same. It's unfortunate, I hate. It's always around the corner. It's always, when we need one more study or we're just wanting to have this thing settled. So we can go our board or things of that sort. It is as active as ever as promising as we believe that to be promising in the past and we are as confident as ever that this business will develop and continue to develop. But again, Michael I'm not concerned about that and we have plenty of opportunities to these vessels, no matter what.
Michael Webber: And David you mentioned something earlier, that I thought was really interesting. You're saying, you wish you had these vessels already delivered and you could be traded in spot. I'm just curios, if you'd specifically with these assets. Can you or maybe Oeyvind, if you could talk to. I guess, on a relative TC [ph] or relative IRR for these assets trading in the stock market today. If they were going to carry something else, just how we should think about that. Whether they would be, add a bit of hair cut to something that's specifically designed for ethane or just? You talked a bit about parcel side is just kind of gaping up as it trace development, that makes sense. But just as it stands today, how should we think about the relative TC's on those assets that they were in the stock market?
David Butters: Well, I would say that you certainly. Look, we know what mid-sized propane carrier would be. Okay. That'd be a $1.1 million, $1.2 million see. And operating cost in those vessels would be $225,000 a month. So call it a $1 million just argument sake, a $1 million a month and EBITDA if you were hauling propane. And these vessels are far more sophisticated then hauling propane. So that is $12 million a year, Michael.
Michael Webber: Yes.
David Butters: Of EBITDA and I don't intend to haul propane.
Michael Webber: Right. Okay, I can grill on offline about the relative IRR coming up higher base in that scenario, but that's helpful. And finally around those carriers, can you talk a bit to financing and what that process looks like right now, when we would expect to see something pick up there?
David Butters: Niall, is been quite here for the last few moments.
Niall Nolan: Yes, I know. We're speaking with a number of banks. They're very active and there is a lot of bank finance available for the right companies which Navigator clearly ticks up boxes as far as the banks are concerned. We're looking at over the coming months. I won't say, we'll have it in place by Q3, but we will be a long way down the road by then. All in cost at the moment is looking like based on current LIBOR is looking at like about 2.5%.
Michael Webber: Got you. That's helpful. All right guys. Thank you very much.
David Butters: Okay. Lawrence we will wrap this up then. Our time is up. We appreciated your audience today and again I stress today. Today as I'm as excited about our business. I think it's more promising than we've ever seen and we'll keep an eye out on the price of oil because I know you're all concerned about that. Thank you again for being with us.
Operator: Thank you. That does conclude our conference today. Thank you all for participating. You may now disconnect.